Operator: Good day and thank you for standing-by. Welcome to the Second Quarter 2021 Jazz Pharmaceuticals Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Andrea Flynn. Please go ahead.
Andrea Flynn: Thank you and good afternoon, everyone. Today Jazz Pharmaceuticals reported its second quarter 2021 financial results. The slide presentation accompanying this webcast is available on the Investors section of our website. Investors may also refer to the press release we issued earlier today, which is also posted to our website. On the call today are Bruce Cozadd, Chairman and Chief Executive Officer; Renee Gala, Executive Vice President and Chief Financial Officer; Dan Swisher, President; and Rob Iannone; Executive Vice President, R&D and Chief Medical Officer; Phil Jochelson, Neuroscience Therapeutic Head will also join the team for Q&A. On Slide 2, I’d like to remind you that today’s webcast includes forward-looking statements, such as those related to our future financial and operating results, growth potential and anticipated development and commercialization milestones and goals, which involve risks and uncertainties that could cause actual events, performance and results to differ materially from those contained in these forward-looking statements. We encourage you to review the statements contained in today’s press release on Slide 2 and in our latest SEC disclosure documents, which identify certain factors that may cause the Company’s actual events, performance and results to differ materially from those contained in the forward-looking statements made on today’s webcast. We undertake no duty or obligation to update our forward-looking statements. Turning to Slide 3, on this webcast, we’ll discuss non-GAAP financial measures. Reconciliations of GAAP to non-GAAP financial measures are included in today’s press release and slide presentation available on the Investors section of our website. With that, I’ll now turn the call over to Bruce. Bruce Thanks, Andrea. Good afternoon, everyone and thank you for joining us today. I’ll start on Slide 5. Looking back at the first half of the year. I’m proud of how our team has continued to deliver operational excellence. We accomplished milestones across commercial, R&D and corporate development that collectively are driving our transformation to an innovative high-growth global biopharma company. Our recent acquisition of GW Pharmaceuticals combined with progress across our existing business is foundational to what we expect will be a period of sustained growth for Jazz underpinned by our ability to deliver on our expanding pipeline and our corporate development activities, as well as by leveraging our substantial commercial prowess and enhanced global footprint. We continue to be impressed with the superb cultural fit between legacy Jazz and GW teams and the successful completion of our integration will only further enhance our ability to innovate and execute. We are on track for another year of strong financial performance and sequential revenue growth. And for the first time, we expect to exceed $3 billion in annual revenue. I also want to emphasize the makeup of this revenue. Several years ago, we made revenue diversification a key corporate objective with 41% of net product sales in the second quarter from products launched or acquired since 2019. We are well positioned to reach our goal of at least 65% of net product sales from these newer products in 2022. And these newer products are not only innovative therapies that address critical needs for patients with neurologic disorders and cancer, they are also durable assets with high growth potential. In short, Jazz has never been stronger. It’s particularly striking that we’ve been able to consistently execute at such a high level while navigating the challenges created by the global pandemic. This was only possible thanks to the dedication and engagement of our teams across Jazz. We are taking the lessons we learned about remote work and collaboration over the past 18 months to redefine the future of work at Jazz. We believe that the combination of a purpose focused culture that delivers innovative therapies to patients, the opportunity for rewarding professional experiences and a workplace that adapts to meet employee expectations regarding flexibility, collaboration, diversity and inclusion will make Jazz an even more attractive place to work for both our existing teams and top talent across our industry. I’m not going to address every bullet on Slide 5 as Dan, Rob, Renee will provide greater detail. But I do want to note a few items that are key drivers of our future growth. We successfully closed the GW acquisition in early May, which has strengthened our position as a neuroscience leader with a global commercial and operational footprint. The acquisition is highly complementary to our existing business, further diversifying the commercial products we delivered to patients and adding the exciting GW cannabinoid platform to our R&D portfolio. We have also gained numerous talented colleagues and integration remains a key focus. I’m pleased with our progress to date and we have successfully retained many GW employees who are enrolls that are crucial to our continued success. The GW acquisition was transformative for our business and we are excited about the long-term value we believe it will deliver. We are very pleased with strong Xywav adoption in the second quarter and that the benefits of a lower sodium oxybate are resonating with physicians and patients. It is our view that Xywav is the only lower sodium oxybate product will be the oxybate therapy of choice even after other higher sodium oxybate products are available. We continue to expect that a majority of oxybate patients across all approved indications will benefit from Xywav in 2023. Looking ahead, we are preparing for the commercial launch of Xywav in idiopathic hypersomnia or IH later this year, pending FDA approval. This would be our fifth product launch, since the beginning of 2020 achieving a key company objective, while delivering a new treatment option to patients with IH. This hypersomnia disorder has a profound effect on multiple aspects of daily life and there currently are no approved therapies to treat IH. Turning to Zepzelca. We saw strong underlying growth in demand in second-line treatment as we move toward our goal of establishing Zepzelca as standard of care in that setting. Zepzelca is providing an important therapeutic option for patients with small cell lung cancer and we are advancing a robust development plan for this therapy, including initiating a Phase 3 trial this year in combination with immunotherapy in first-line small cell lung cancer. And continuing with our oncology portfolio on June 30, we were pleased to announce FDA approval of Rylaze, previously referred to as JZP458 under FDA’s Real-Time Oncology Review. Rylaze became commercially available on July 15. This is a critical therapy for patients with acute lymphoblastic leukemia and lymphoblastic lymphoma who have developed hypersensitivity to E. coli-derived asparaginase and we are excited to deliver a high quality therapeutic option with reliable supply to these patients. Together with Xywav, Rylaze showcases our growing R&D capabilities and demonstrates our ability to bring medicines from concept to commercialization. I’ll now turn the call over to Dan for an overview of our commercial performance, after which Rob will provide an update on progress across our R&D programs. Renee will close our prepared remarks with a financial overview and then we’ll open the call to Q&A. Dan? Dan Thanks, Bruce. I’m excited to share the progress across our commercial portfolio. I’m going to begin with neuroscience on Slide 7. Starting with our combined oxybate franchise, including Xyrem and Xywav. Net product sales for the oxybate franchise were $458.3 million, 3% higher than the same period in 2020. Average active oxybate patients increased to approximately 15,900 in the quarter, an approximate 5% increase over the same period last year. The strong adoption of Xywav continued through the second quarter with net product sales of $124.2 million. We exited the quarter with approximately 5,100 active Xywav patients up from approximately 3,900 at the end of the first quarter. We remain focused on educating physicians and patients about the lifelong burden of high sodium intake, particularly in a patient population with an increased risk of cardiovascular comorbidities and that Xywav is designed to enable patients to address this modifiable risk factor. This messaging is resonating with health care professionals and patients. In the first three quarters since launch, we have been successful at educating both high volume Xyrem prescribers in current Xyrem patients to facilitate their adoption of Xywav. We are increasing our focus on health care providers who have either not yet adopted Xywav or who have not transitioned the majority of their narcolepsy patients, as well as to oxybate naive patients. While we anticipate that adoption rates will be slower in these groups compared to early adopters. We continue to make steady progress in expanding the prescriber base and we’ve seen a continued preference for Xywav over Xyrem among oxybate naive patients. We see a significant opportunity to continue to grow Xywav in narcolepsy and as Bruce noted, we are also planning for a fourth quarter commercial launch of Xywav in idiopathic hypersomnia or IH, pending FDA approval and following REMS implementation. If approved for this additional indication, Xywav would be the first and only therapy indicated to treat IH. So, as a reminder, the first Xyrem authorized generic or AG can enter the market on January 1, 2023 or earlier if triggered by a significant decline in Xyrem revenue. While we do not anticipate that this Xyrem market acceleration clause will occur in 2021 given the strength of Xywav adoption, it could occur earlier than January 1, 2023. This would be a real mark of the success of the Xywav launch. We do have meaningful royalties on net sales of the AG products with the royalty rate increasing during the initial AG term based on increased AG sales. I should note that generic Xyrem will only be approved in narcolepsy as there is no data for Xyrem in IH. Next, we’re exceptionally pleased to add Epidiolex to our neuroscience portfolio with the close of the GW Pharma acquisition in May. The GW team has done a fantastic job in the launch of this product in both the U.S. and more recently in Europe and the growth we’ve seen this quarter was in line with our expectations. We view Epidiolex as a durable product with near-term blockbuster potential that addresses a significant unmet need to treat childhood onset treatment resistant epilepsies. In our press release today, we announced that we are planning to initiate a pivotal Phase 3 trial of Epidiolex for the treatment of epilepsy with myoclonic-atonic seizures or EMAS, also known as Doose syndrome. This trial will expand the evaluation of Epidiolex in treating a broad range of seizure disorders. Rob will cover this trial in more detail shortly. We continue to see Epidiolex growth coming from current indications of Dravet, Lennox-Gastaut and TSC as well as potential future indications such as EMAS. Epidiolex has broad access to date – has broad access to date in the U.S. with more than 97% of all lives covered and there is a high persistency rate for patients who initiate therapy. In the second quarter, Jazz recorded net product sales of $109.5 million for Epidiolex. This represents revenue from the close of the GW transaction on May 5 through the end of the quarter. On an unaudited pro forma basis full second quarter net product sales were $155.9 million, a 32% increase over the same quarter of 2020. As COVID restrictions ease in the U.S., we are seeing an upturn in patients visiting their physicians, which we believe will drive additional growth of Epidiolex with new patient starts. In addition, the European launch is progressing well with favorable pricing and access to date and reimbursement in place in four of the five largest markets. Moving to Sunosi. Second quarter net product sales were $12.1 million, a 41% increase over the same period last year. Our expanded and dedicated Sunosi sales force has now had a full quarter in the field. Sunosi is highly promotionally sensitive and we believe that greater access to clinics and physicians will benefit the brand. We are also continuing to make strides in our rolling European launch of Sunosi, including securing reimbursement in the key market of Germany. So now I’m going to turn over to the – turn to the oncology portfolio on Slide 8. We continue to see strong growth in demand for Zepzelca with net product sales of $55.9 million in the second quarter of 2021. Growth in the second line share and overall demand continues to increase in line with our expectations with sequential demand growth over the last two quarters of 8% and 9% respectively. While we continue to have strong underlying growth, I will note that there was lower sequential growth rate in net sales over the first two quarters of 2021. This was mainly the result of reduced inventory holdings by distributors in this early launch period. We expect that as distributors gain more experience with customer demand levels, our growth in net sales will be more closely aligned with overall demand in future quarters. As Bruce mentioned, Zepzelca is providing an important therapeutic option for patients with small cell lung cancer and we’re making progress toward our goal of establishing Zepzelca as standard of care in the second-line setting. Turning to asparaginase. Second quarter Erwinaze net product sales were $28.3 million as previously disclosed, we distributed our remaining supply of Erwinaze in the second quarter and we have discontinued selling this product. We’re very excited that our internally developed recombinant Erwinia asparaginase therapy or Rylaze was approved at the end of June and is now commercially available. Rob will discuss Rylaze in more detail shortly. Vyxeos net product sales in the second quarter were $31.5 million, an increase of 18% compared to the same period in 2020. We continue to support the growth of Vyxeos with ongoing development and commercial activities as well as expansion into new international markets. We were pleased to gain the recent approval from Health Canada in early July. For Defitelio we saw second quarter net product sales of $48.1 million. This was an increase of 13% over the same period last year. So in summary, we remain focused on strong commercial execution across our neuroscience and oncology portfolios. We’re excited about the opportunities in front of us, including the launch of Rylaze, the anticipated launch of Xywav in IH, the continued rollout of Xywav in narcolepsy, the growth and development of Zepzelca and working with our new colleagues from GW Pharma to maximize the opportunity of Epidiolex and realize its blockbuster potential. I’m now going to turn the call over to Rob for an update on our development programs. Rob? Rob Thanks, Dan. I’ll start on Slide 10 with an important milestone for Xywav. FDA recently granted Orphan Drug Exclusivity for Xywav in narcolepsy. In connection with this, FDA also published at summary of clinical superiority findings for Xywav for the treatment of cataplexy or excessive daytime sleepiness in patients seven years of age and older with narcolepsy, by means of greater safety compared to Xyrem. FDA noted that "Xywav is clinically superior to Xyrem by means of greater safety because Xywav provides a greater reduced chronic sodium burden compared to Xyrem." And also stated "The differences in the sodium content on the two products at the recommended doses to be clinically meaningful in reducing cardiovascular morbidity in a substantial proportion of patients for whom the drug is indicated." We are encouraged that FDA recognized the benefits of reducing sodium in a chronic medication for narcolepsy patients and believe FDA summary will be meaningful to both physicians and patients. Now turning to our neuroscience development program on Slide 11. I’ll continue with Xywav to highlight that we are less than two weeks away from our August 12 PDUFA action date for our supplemental NDA filing with FDA for idiopathic hypersomnia. Progressing as expected and we’re excited about the potential [indiscernible] for whom there are currently no approved therapies. Looking at other opportunities in our neuroscience pipeline. I’m very pleased to report that the integration between our Jazz and GW R&D teams is progressing well and the combined organization is collaborating to advance multiple therapies across our neuroscience portfolio, including a number of programs emerging from the GW cannabinoid platform. Epidiolex is currently approved in three refractory seizure disorders and we expect to initiate a registrational trial in a fourth epilepsy with myoclonic-atonic seizures or EMAS in the first half of 2022. Patients diagnosed with EMAS, which is also known as Doose syndrome experienced generalized myoclonic-atonic seizures. The onset of EMAS occurs commonly in the first five years of life with the mean age of onset being three years. The trial provides the opportunity to study Epidiolex in a fourth childhood onset epileptic encephalopathy at a very high unmet need. EMAS is characterized by generalized myoclonic-atonic seizures and this trial will provide the first randomized controlled clinical data with Epidiolex in this seizure-type, which we believe will provide a more fulsome view of the potential effectiveness at Epidiolex in treating a broad range of seizure disorders. We also have a number of other near-term pipeline milestones, including the initiation of a third multiple sclerosis-related spasticity trial for nabiximols. Specificity occurs in up to 84% of MS patients and approximately one-third of those who experienced spasticity live with uncontrolled symptoms. No new oral anti-spasticity medications have been approved in the last 20 years and current disease modifying treatment show no evidence in relieving the symptom. So we have an opportunity to deliver much needed therapeutic option to the multiple sclerosis community. We are also planning to initiate Phase 2 clinical trials for JZP385 and JZP150 in a essential tremor and PTSD respectively. We expect to initiate all three of these clinical trials this year. Moving to Oncology on Slide 12. I’ll start with Rylaze or JZP458. Given the significant need, we’re very pleased FDA approved Rylaze before the Phase 2/3 trial was complete. We believe this speaks to the need for Rylaze to be available to patients as quickly as possible. Now that Rylaze is approved in the U.S., we are turning our attention to analyzing additional data from the trial and submitting that information to FDA and other regulatory bodies. Currently Rylaze is approved for intramuscular administration dosed every 48 hours at 25 milligrams per meter squared. We expect to submit a supplemental BLA to support a label update to include dosing intramuscular at 25 milligrams per meter squared on Monday and Wednesday and 50 milligrams per meter squared on Friday. Giving a twofold higher dose on Friday, results in a higher level of 72 hours asparaginase coverage between the Friday and Monday doses. Our belief is that FDA will continue to move swiftly in its review process for Rylaze. The ongoing trial is also assessing intravenous administration of Rylaze, which is common in Europe and other geographies, we are continuing to advance our regulatory strategy for Rylaze outside of the U.S. and anticipate the data from our current development program will support regulatory filings in Europe in 2022. In addition, we are working with an in-country partner to advance the program for filing, approval and launch in Japan. Moving to Zepzelca. I’ll take a few minutes to provide an update on our development plans in small cell lung cancer and other potential indications. These players include four trials that are underway or will be initiated in the next 12 months. After the discussion with FDA, our partner PharmaMar plans to initiate a confirmatory trial in second-line small cell lung cancer later this year. This trial is expected to be a three-arm trial comparing Zepzelca either as monotherapy or in combination with irinotecan to investigator’s choice of irinotecan or topotecan. In positive this trial would confirm the benefit of Zepzelca in the treatment of small cell lung cancer when patients progressed following first-line treatment for the platinum-based regimen. The second trial, which we announced in June of this year, is a Phase 3 trial to evaluate first-line use in combination with the atezolizumab or Tecentriq as maintenance therapy compared to Tecentriq alone, in patients with extensive stage small cell lung cancer after induction chemotherapy the trial which is expected to initiate later this year in collaboration with Roche. I am pleased to announce Jazz is also planning to initiate another Phase 2 basket trial in early 2022 to explore efficacy and safety of lurbinectedin monotherapy in patients with select advanced or metastatic solid tumors. Cohorts will include advance urothelial cancer, large cell neuroendocrine tumors the lung and homologous recombination deficiency or HRD positive cancers. In addition, we have initiated a Phase 4 observational study to collect safety and outcome data in the real world setting in adult patients with extensive stage small cell lung cancer. The primary objective of this study is to assess the effectiveness of Zepzelca monotherapy in terms of overall response rate in patients with small cell lung cancer who progress on or after prior platinum containing chemotherapy to generate additional real-world evidence data. This robust development program will enable us to evaluate Zepzelca in a range of settings and tumor types with the goal of identifying additional patient populations that can potentially benefit from receiving Zepzelca as part of their treatment regimen. Turning to Vyxeos. In our continued effort to deliver our therapies to as many patients as possible, I am pleased to report the Vyxeos is now approved in Canada and available to patients. We are also continuing clinical programs to evaluate additional patient populations and indications. I’ll conclude on Slide 13. At the beginning of the presentation, Bruce stated that we are making notable progress in our transformation to an innovative, high-growth global biopharma company. A significant component of that transformation is continuing to enhance our R&D capable – R&D capabilities and productivity. Looking across our portfolio. This slide really highlights the benefit – I’m sorry, the breadth of our efforts. Seven mid to late stage trials are underway or will begin within the next 12 months, including two registrational trials designed to evaluate new indications approved therapies. We are making strategic and science driven investments across the neuroscience and oncology portfolio to deliver therapies to patients. The GW cannabinoid platform adds exciting new direction for our development efforts. And we remain focused on having the right talent and resources in place to advance innovative internally developed therapies along with the expertise to identify promising external opportunities. We are proud that over the past several years, we have built a sustainable productive R&D engine at Jazz that delivers innovative therapies for patients and also value for the company and its shareholders. I’ll now turn the call over to Renee. Renee Thanks, Rob. On today’s call, I’ll highlight several key items from the quarter, full financial results are available in our press release and 10-Q. Outlined on Slide 15. Our second quarter financial performance demonstrated continued top line revenue growth, including a meaningful and growing contribution from our recently launched and acquired products. Total revenues in the second quarter were $751.8 million, an increase of 34% compared to the same period in 2020. This double-digit year-over-year revenue growth was driven by our oxybate franchise, the continuing success of Zepzelca and the addition of Epidiolex with the latter two clearly demonstrating our ability to put capital to work to build sustainable growth. Consistent with this approach, we continue to expect the GW transaction to be accretive in 2022 and substantially accretive thereafter, and to provide accelerated double-digit top line revenue growth. We’re on track for another year of strong financial performance and sequential revenue growth and we expect to exceed the significant milestone of $3 billion in annual revenue this year. We’ve made substantial progress towards our goal of revenue diversification with 41% of net product sales in the second quarter coming from products that have been launched or acquired since 2019 and we’re well on track to generate our target of at least 65% of net product sales from these products in 2022. Adjusted net income for the second quarter was $241 million, an increase of 16% over the same period in 2020 coupled with adjusted EPS growth of 5% year-over-year to $3.90 a share. Maintaining strong cash generation remains a key focus as well as rapid deleveraging to meet our target of less than 3.5x net leverage by the end of 2022. We will also continue to make disciplined investments to grow the business, including investments in the ongoing commercial launches of Xywav, Zepzelca and Rylaze, the growth potential of Epidiolex, the anticipated launch of Xywav in IH, our R&D pipeline and the GW cannabinoid platform. We provided financial guidance in mid-June following the close of the GW acquisition. On a non-GAAP basis, we are reaffirming that guidance today. Total revenue guidance is in the range of $3.02 billion to $3.18 billion and non-GAAP adjusted EPS is in the range of $13.40 to $14.70 per share. This guidance includes the addition of GW from the date of closed to year end, approximately eight months. We have updated our GAAP guidance primarily to reflect the impact of the UK Tax Act, which was enacted in June following our guidance update. Turning to Slide 16. We’re pleased to be on track to deliver on the key objectives and milestones outlined for our business. Our R&D organization continues to evolve and expand its capabilities with the recent FDA approval of Rylaze enabling our fourth new product launch since the beginning of 2020. With Xywav and IH approaching its PDUFA date next week, we are solidly on track to meet our goal of five product launches in two years and we are initiating multiple mid and late-stage clinical trials in the next 12 months from both the legacy Jazz and GW pipelines. Our commercial teams have demonstrated strong performance on the launches of Xywav in narcolepsy and Zepzelca and we expect that momentum to be carried forward in the launch of Rylaze and anticipated launch of Xywav in IH, as well as the continued growth in Epidiolex. We’re pleased with the performance of Epidiolex and continue to be impressed with the cultural fit and progress on integration, further increasing our confidence in the success of the GW transaction. Our disciplined capital allocation has enabled us to expand our pipeline and diversify our revenues and we are well positioned to continue to invest both internally and in our corporate development efforts to drive sustainable long-term growth and shareholder value. Our transformation to an innovative, high-growth global biopharmaceutical company is well underway. This concludes our prepared remarks. I’d now like to turn the call over to the operator to open the line for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Ken Cacciatore of Cowen and Company. Your line is open.
Ken Cacciatore: Hi. Thanks team for the commentary around generic Xyrem and triggering events. Just a couple questions around it. Is this for all of the settlements, or is it for selected generics. And then trying to understand if there are any volume restrictions or is the triggering event limit or unleash all kinds of volume restrictions that you may have. And then obviously just would like to hear any commentary, how you think this would evolve – the marketplace would evolve the language around Xywav in the orphan designation clearly, incredibly favorable. So just trying to get a sense of how you think managed care would handle the generic optionality with that type of language that Xywav has? Thank you.
Bruce Cozadd: Yes. Thanks, Ken for your question. So, again as Dan mentioned in his remarks, we view it as upside if the Xywav launch is going so well that in fact Xyrem revenues have dropped to the point that this kicks in. But to your specific questions that would trigger an earlier launch of the first AG, which is Hikmas, the other AGs, which are all volume limited, as you’ll recall, to each a low single digit percentage or a single digit percentage of prior year volume even collectively the three volume limited AGs, would not up to all that much volume. Those would track six months after Hikma. So they are accelerated, but not to the same data segment to a date six months later. And there will be no impact of that acceleration of the AG launches to the generic launches, which would be allowable as of the beginning of 2026. So, no impact on the volume restrictions, one of your questions. In terms of how the market will evolve, we’re very pleased that the availability of a lower sodium product, which we believe is a healthier lifelong treatment option for patients is being well received by physicians and patients. And as we’ve said, as we look out into 2023 and we picked that year to be a year where there could be multiple other oxybate products on the market, we still continue to believe Xywav would be the dominant brand and have the most of patients. We’ve got strong commercial coverage for both Xyrem and Xywav. We don’t see that changing in the future. And again, if you could imagine patients being well controlled on this lower sodium product and remember that that lowering is a 92% reduction to move those patients back to a product that would then have more than 10 times the sodium level, a full – up to a full gram-and-a-half or more of extra sodium per night when it’s known that sodium matters in terms of impact on cardiovascular comorbidity and we know that the narcolepsy population is itself at higher risk on cardiovascular risk. We just think that it will be clear to people, the better choice for ongoing therapy.
Ken Cacciatore: Great. Thank you.
Operator: Your next question comes from the line of Jessica Fye of JPMorgan. Your line is open.
Jessica Fye: Hey guys, good afternoon. Thanks for taking my question. I have one short-one, so I’m going to try and sneak in a second one as well. First one is, what was the year-over-year change in oxybate revenue bottle volume this quarter? And the second one is can you frame for investors the reason for either confidence or caution heading into the nabiximols Phase 3 data in MS spasticity and you can you provide the timing for the readout of each of those trials?
Bruce Cozadd: So thanks, Jess for your one-short and then one for question. We’ll let you get away with that. Maybe I could ask Dan to take the first part of your question which is really around oxybate volumes and then perhaps I could have Rob comment around your questions about the nabiximols clinical program. Dan?
Dan Swisher: Yes. Thanks, Bruce. So Jess, we were very pleased to see that the overall oxybate market share of 5% year-over-year increase, we referenced that our sales were a 3% increase in, so you can imagine as we had said with Xywav and as we were ramping up commercial coverage, we wanted to make sure there was no inability for patients to access therapy. So, we had a range of bridging programs. The good news is as we emerge from the second quarter. We have over 80% coverage now and it’s continuing to increase and so we expect that revenue bottles will be tracking to patient growth and you’ll see that in the coming quarters. But we’re not giving specific bottle volume numbers at this point.
Jessica Fye: Just for this quarter or going forward?
Dan Swisher: Going forward.
Jessica Fye: Okay.
Operator: Your next question comes from the line of Jason Gerberry of Bank of America. Your line is open.
Bruce Cozadd: Hey, just before we go on, I think there was a question on the nabiximols too and Rob, if you want to address that. That would be great?
Rob Iannone: Yes. Thanks for the question, Jess. So, we have a comprehensive program for nabiximols to provide that bridging between already strong data that allowed approval in many jurisdictions outside the U.S. that’s MS 5 studies in spinal cord injury two studies and some of them are already underway and we expect that as they read out, they potentially will give the opportunity to provide enough breathing data for submission in the U.S. I don’t know that we’ve given specific timings on the read – around the readout of each of those studies.
Bruce Cozadd: And just to follow-up, we went back and checked the language in our Q, which you’ll be able to see soon and we did give a revenue bottles figure of down less than 1% year-over-year for the quarter across oxybate. Operator, I think we’re going to go to Jason.
Jason Gerberry: Yes. Hey, guys. So I just wanted to follow up on Ken’s question actually. So, Bruce your interpretation that the Xywav orphan exclusivity would pertain to potentially blocking approval of any high sodium composition of oxybate or it would seem to us that it’s exclusive to kind of lower sodium composition since that was the basis of the clinical superiority finding. But I just wanted to run that by you?
Bruce Cozadd: So, Jason, my understanding is the orphan drug exclusivity granted to Xywav means that no other oxybate product should be approved in narcolepsy unless FDA determines that it is superior to Xywav, which the FDA can do on a variety of measures potentially.
Jason Gerberry: Since about that interpretation generic and those of high sodium should not be approvable?
Bruce Cozadd: I think we’re talking about new approvals.
Jason Gerberry: Right. But, only we’ve only had Hikma get approved and they’ve discontinued. I think there approvals, so there are approvals technically of generic and so, I guess all the others wouldn’t technically be gated by the ODE period?
Bruce Cozadd: I think historically it’s been FDA’s view that orphan exclusivity does not block approval of generics to a product on the market.
Jason Gerberry: Okay, all right. Thank you.
Operator: Your next question comes from the line of Jeff Hung of Morgan Stanley. Your line is open.
Melina Santoro: Hi. This is Melina Santoro on for Jeff. Thanks for taking our question. Can you tell us what the breakout is of Epidiolex by indication and kind of what you see as the key growth driver going forward. And also what kind of impact you’re expecting from off label indications? Thank you.
Bruce Cozadd: So, Dan, maybe I’ll let you talk to how the evolving launch of Epidiolex continues to progress and where we see use coming from now and in the future.
Dan Swisher: Yes. Thanks, Bruce. So on the Epidiolex U.S. launch really pleased with the performance to date and what has been accomplished even in the midst of the COVID pandemic that dampened down some of the new patient starts. We see continued penetration into the current indications and in particular TSC, which was just recently launched in the fall of last year, but the number of patients available, but also higher doses. Clearly we see opportunity to go beyond the three indications and seizure types into EMAS. So we’re excited to move into that area. And as we referenced but didn’t put a lot of substance behind it. The European and international rollout continues to progress nicely too with recent reimbursement now in four of the five major European countries. So we also see continued contributions and growth from the international markets going forward.
Operator: Your next question comes from the line of David Amsellem of Piper Sandler. Your line is open.
David Amsellem: Thanks. Just wanted to continue on the theme of Epidiolex. Can you just talk about what your penetration is in the three approved indications even if you can’t go into specifics is qualitatively what you’re seeing. And then secondly, how should we think about patient attrition or patient attrition rates across the approved indications or even just overall. And do you expect that with the easing of the pandemic, Delta COVID notwithstanding that attrition rates might attenuate to some extent with some more greater normalization of in-office visits if you will. Maybe help us understand your thought process there? Thanks.
Bruce Cozadd: Thanks, David. Dan, you want to take it?
Dan Swisher: Yes. So, persistency is definitely hallmark of the brand and something we saw both in the diligence and continue to see in the market. It makes up the Epidiolex, particularly important in this refractory epilepsy setting is, which is a polypharmacy, it’s a unique mechanism of action relative to the other anti-seizure medicines. And we really see it becoming a cornerstone of therapy for those patients. And so often if benefit has been derived from the drug, it’s continued and there may be some tinkering around the edges with other therapies. So with or without COVID we think persistency is going to be a hallmark for the brand. In terms of penetration rates, I know GW did give a number last year by indication. Those are the only numbers kind of out there and that was a single point in time. I think we have an opportunities for going post-COVID and seen patients return to the clinic that an increasing number of patients will be available to access. There is definitely a reluctance to put these pediatric kids at risk to tinker with their medicines where there could be an ER visit or something else if it doesn’t go quite right. So kind of post-COVID, we see a lot more opportunity for fine tuning those therapies without that concern.
Bruce Cozadd: Since I took the opportunity to clarify one of Dan’s answers earlier. I’m now going to take the opportunity to clarify one of my earlier answers and say, when I said that Xywav would be unlikely to block and those to an existing approved product, I meant to Xyrem, it would block and those to Xywav for the period of ODE exclusivity, which is seven years from Xywav launch date. Operator?
Operator: Your next question comes from the line of Gary Nachman of BMO Capital Markets. Your line is open.
Gary Nachman: Given the Xywav share of total oxybate patients is accelerated nicely since launch, now you’re at about a third of total. It sounds like we’re reaching a point where that will level out more perhaps it was some lower hanging fruit with the early adopters like Dan said earlier. So just walk through the next steps of the ramp in more detail how you plan to broaden the prescriber base and patients that are Xyrem naive versus switches from Xyrem. And then with IH if you get that approval do you think that’s going to further provide a tailwind for the narcolepsy indication as well? Thank you.
Bruce Cozadd: Yes, Gary, thanks for those questions. And let me just be clear we think Xywav is a better product for all patients and our goal would be to make that therapies available to as many existing oxybate and new oxybate patients as possible. We’re certainly ramping up our efforts as Dan talked about to go after those physicians who have not yet been as frequent prescribers or prescribers at all of Xywav to date. So we’ve got some work to do, but we’re continuing that effort to try to bring this product to them. Maybe I’ll let Dan comment on your point about whether IH provides any additional impetus moving forward. Dan?
Dan Swisher: Yes. Thanks, Bruce. We are very, very excited for the IH indication coming up and physicians have seen the clinical results at some of the recent conferences and we’ve been doing disease education among physicians and patients. And as the only medication available with some outstanding clinical results, we do think that will make a difference across those offices, including those that may not have fully adopted Xywav in narcolepsy yet because this will be the one and only approved therapy. The good news is the market’s concentrated it’s the same physician audience that we’re calling upon. And so I do think, one it’s an opportunity in and of itself, but two it does create additional opportunity for interactions with the HCPs, including those that may not have fully embraced Xywav for narcolepsy.
Gary Nachman: Great. Thank you.
Operator: Your next question comes from the line of Annabel Samimy of Stifel. Your line is open.
Annabel Samimy: Hi. I had a quick question regarding nabiximols. You have the Phase 3 MS spasticity study ongoing. Is the goal to get a broad label with this MS study? Are you also seeking the SCI? Do you have to do additional studies there and when should we be expecting submission of this program? And just one other question on nabiximols, you have a study I guess there were some plans for PTSD as well, but you have the JZP150 planned Phase 2 for initiation at the end of this year, do you plan on reprioritizing the PTSD for nabiximols and prioritizing 150? Thanks.
Bruce Cozadd: Okay Thanks, Annabel. Rob, let me come to you for the nabiximols and the PTSD.
Rob Iannone: Thanks, Bruce. So, as we mentioned earlier, we have a comprehensive program which reflects input from FDA around how best to bridge from all the – I would say the voluminous data that RNA existed in support approvals around the globe. We chose to study two indications in particular and whether ultimately a label would be broader than that I think would be determined upon review. In terms of the earliest that we could possibly submit, we do think there’s meaningful data that will come out of each of those studies that are planned and with several ongoing and that would mean that early as possible to support an NDA submission could be within the next one or two years. And then, we haven’t provided any details on prioritization of PTSD, I mean we are excited to be working in the steel, which where there is really a substantial unmet medical need and now we have several mechanisms within our portfolio that potentially could address it. So, we’ve discussed, JDP150 program, but certainly have significant expertise in that space and we’ll be looking to leverage that further. The 150 program as I mentioned in my earlier remarks, we’re excited to be starting that trial this year.
Annabel Samimy: Yes. Thank you.
Operator: Your next question comes from the line of Esther Rajavelu of UBS, your line is open.
Esther Rajavelu: Hey, thank you for taking my question. On Zepzelca, can you talk about the inventory dynamics in this quarter and also any color you can share on what you’re seeing with regards to duration of therapy, as you’re moving more into the second line, that would be helpful?
Bruce Cozadd: Yes. So Dan, do you want to take the inventory and demand question and then for Dan or Rob, any comments on duration of Zepzelca therapy?
Dan Swisher: Sure. Yes. With a rapidly adopted new therapy, it’s not unusual for distributors to carry a little bit of excess inventory at the beginning. And then as you start to see a little more of the real usage trends and more consistent pattern of ordering to get them down to a lower level sense, we can ship product to the wholesaler and to the clinic pretty quickly. So what we’re saying is the underlying demand growth is what’s relevant the 8%, 9% growth and that’s going to be more reflective we think of the ex-factory growth will be closer to that demand growth. What we’re focused on of course is establishing a standard of care. We do look at monthly chart reviews and we see continued penetration into all sectors of those parts of second-line therapy. As you get to the patients who have better prognosis particularly platinum sensitive. There is an opportunity to have much longer clinical benefit and more therapy. Exactly the duration of therapy, we need a little more time to see that market mature. But what we’re happy to see is that the percentage increase in the standard of care in those settings is continuing to increase and excited now for the additional data that will come from the trials that are pending.
Bruce Cozadd: Rob, would you like to add your...
Rob Iannone: Yes. Thanks, Bruce. I would just reinforce a few things not speaking to specific data, but just what we’re hearing in the field from our medical personnel is that, what they’re seeing is what we saw on clinical trials. So, good responses in patients and as Dan mentioned, patients who had had initial good response and relapse tend to do very well on Zepzelca. Also the tolerability has been very good in the clinical trial that supported registration and less than 2% drop out due to toxicity and so Zepzelca has a favorable tolerability profile and can be continued without this continuation for the great majority of the patients until disease progression. I would also just take the opportunity to just comment on our excitement around the first line trial that we plan to initiate later this year. This is first line extensive stage small cell lung cancer, where Zepzelca will be add-on to the standard of care in that line, which includes tesidolumab. This gives us a chance to intervene on patients who have minimal residual disease most commonly they do have the residual disease, but they’ve experienced the response or some benefits from their initial chemo, but had to stop that chemo. It’s an opportunity to intervene earlier before those patients progress and then often are in difficult situations initiate a subsequent therapy. And we’re hoping that setting the duration of therapy would be even longer in a population of patients, it’s even higher really to extend that period of progression-free survival patients feel and are experiencing a high quality of life.
Esther Rajavelu: Okay. Thank you.
Operator: Your next question comes from the line of Marc Goodman of SVB Leerink. Your line is open.
Bruce Cozadd: Marc, are you there?
Marc Goodman: Can you hear me?
Bruce Cozadd: Yes, we can.
Marc Goodman: Can you hear me now? Sorry about that. I was wondering if you could comment on cost synergies. Where we are with respect to how much we’ve achieved so far what we’re thinking about for next year. And if, we found some other places for some synergies? Thanks.
Bruce Cozadd: Renee?
Renee Gala: Yes. Thanks, Bruce. And Marc, I’m happy to address that. So, when we announced the transaction, we announced that we expected to achieve about $45 million synergies in the first full year following the transaction, so that would be next year. We’ve also said, of course, that this transaction is really not about cost synergies, but where we are today and as we’re looking at 2022, I feel very confident that we’ll be able to achieve these synergies. And as we have said in the past where we would expect these to come from is some of the typical overlap between functions that two public companies would have that you really wouldn’t need to duplicate and bringing them together. And as we’ve been working through our integration being able to integrate the teams across the board, we’ve really had great success that being able to recruit talent, ensure that the teams are integrating well that we’re able to get our R&D colleagues working together rapidly, because we do see good synergies there. With respect to the ability to have the teams working together, collaborating together and being able to accelerate some of our work on the pipeline side. So big picture, we’re in great shape with respect to being able to identify our cost synergies. And as we’ve stated previously that’s unlikely to come from very much in the tune of an employee overlap. It’s really more and some of the functional areas that you wouldn’t need two – for two public companies such as Boards of Directors and that sort of thing.
Marc Goodman: So you’re basically saying that their G&A was about $45 million and that’s what you’re taking out and that’s about it?
Bruce Cozadd: No Marc, I’d say that’s a little simplistic. As Rene said, there are lots of duplicate cost we don’t need and are eliminated she gave the example of the Board of Directors. We’re not going to have two CEOs going forward, for example there are places we can be more efficient as a combined company and essentially, we were a growing company continuing to add employees, GW is a growing company continuing to add employees. Sometimes by putting the companies together, we’re going to need to add – still need to add employees, but not as many as we each would have needed to add individually. So, it’s savings like that.
Marc Goodman: Thanks.
Operator: Your next question comes from the line of Graig Suvannavejh of Goldman Sachs. Your line is open.
Graig Suvannavejh: Great. Good afternoon. Thanks for taking my question. It’s on Zepzelca and I just wanted to revisit the growth that you’re seeing thus far. So at 8% to 9% quarter-over-quarter growth over the past several quarters, is it fair to assume that as a steady-state base case assumption. That’s what we should be thinking about, or perhaps even slightly moderating as we look over the next several quarters. And as a follow-up to that, when would you suggest that we consider the potential for any meaningful potential acceleration in that growth dynamic? And if I could sneak in another question just around expectations around the launch trajectory of Rylaze and how would you suggest we consider modeling at least the initial uptake curve? Thanks so much.
Bruce Cozadd: Yes. So, Dan, maybe I’ll let you take the Zepzelca growth question first?
Dan Swisher: Sure. Yes. So I think we still see growth and opportunity for penetration in the second line of course, as we move in the second line patients, who then had prior exposure to Zepzelca, if they go on to third or fourth line will not be candidates and we did have at the beginning of the launch some bolus of patients, who are in later lines of therapy. The good news about increasing the rate of adoption second line is obviously those patients can benefit more from the therapy, particularly as we move into patients with more platinum sensitivity. And then even beyond that as we start to get clinical data from the first line study and the real-world studies, it will help give confidence to use the drug more broadly. So that’s what I would say, it’s a little too early to – we’re not giving forward guidance, but we do see continued growth in the brand going forward.
Bruce Cozadd: Yes. On Rylaze expectations, it’s important that we now re-establish confidence in the marketplace that any patient that needs access to on Erwinia asparaginase after they show a hypersensitivity reaction to E. coli-derived asparaginase can get the product. As Rob said, we’re working to update the label over time with different dosing flexibility. But, really we think we’ve given people the opportunity not only to treat their patients, but to really treat them with a product that was designed to provide the best coverage of active enzyme above threshold levels during the dosing interval. That’s been our goal is best therapy for patients. We will work to establish that credibility quickly. We mentioned at the time of launch, we had a year’s supply available. So we want people to know they don’t need to worry about it. The ordering procedure is easier for Rylaze than it had been with the predecessor product, given some of the issues we had to deal with there. The NCCN adding it so quickly to Guidelines was very helpful to us. COG’s partnership during development and their awareness through the clinical trials of where we were with COG associated physicians doing most of the prescribing for this product. All will help, but we’re just getting started. We’ll have more to say over the months to come. Recall that at the time of our launch there was limited Erwinaze supply in the marketplace that is out there now as well for at least a little while. So we’ll see, we believe a transition here as people become aware of the new product and what we think are some of the benefits of the way we develop the product and it’s high quality and reliable supply. Dan anything else you want to add on expectations in the near-term?
Dan Swisher: No, I think you covered it well. I mean, obviously, we’re going to be supplementing the current indication with additional data as we expand to Monday, Wednesday, Friday IV and then of course get the product to the market outside the U.S., in Europe, Japan and other regions. And some of those regions like Japan, we never had product availability or the quality that could support the introduction into those markets.
Graig Suvannavejh: Okay. Thanks Bruce. Thanks. Dan.
Operator: Your next question comes from the line of Greg Fraser. Your line is open.
Unidentified Analyst: Good afternoon, folks. Thanks for taking my question. For the physicians who have not broadly adopted Xywav, has it been more about hesitancy to switch patients who are stable on Xyrem or some other reasons that you heard?
Bruce Cozadd: Dan, do you want to take that?
Dan Swisher: Sure. Yes, I mean, it’s a little different for everybody, but new product launches there’s obviously slow adopters and faster adopters. The good news is that the faster adopters were high volume prescribers, more associated with the KOLs and aware of the benefits with the ODE it’s clearly gives some win that the sales as we go into offices, including kind of the lower volume offices. And then some of these physicians are a little more reluctant to take a stable patient or at least wait till the patients up for prescription. I think as physicians are gaining increasing experience and we have these high-volume practices, some of which have largely adopted Xywav, they can see the same great efficacy and it’s easy to transition the patients dose for dose over. And so the peer to peer discussion will also be beneficial for penetrating into the offices where Xywav has not yet been adopted or hasn’t been fully adopted.
Bruce Cozadd: Rob, anything you want to add on this one?
Rob Iannone: Yes. I would just say from the anecdotes that we’re hearing from the medical staff in the field is that there is no issues that when they talk to physicians about the importance of lowering sodium in narcolepsy patients for this lifelong therapy. There is a lot of receptivity and especially, I would say since the granting of ODE and the FDA’s statements. So, it’s really resonating well and I think it’s probably a matter of time.
Unidentified Analyst: Great. Thank you.
Operator: Your next question comes from the line of David Steinberg of Jefferies. Your line is open.
David Steinberg: Thanks. I have two questions, one, very near-term related and one longer-term. So first in the near-term question. Next week is your PDUFA date for Xywav in IH and I’m just curious, are you in labeling discussions or have you concluded labeling discussion? I assume you are in them or have concluded them. Can you confirm that? And then secondly, just a longer-term tax rate question. At the beginning of the year, you guided to 16% to 18% pre-GW and upon closing pretty significant cut in the range of 300 basis points to 13% to 15% at least for this year, obviously that reflects the mix shift to Epidiolex with the UK based tax jurisdiction. But obviously with Xywav growing rapidly and again a more favorable tax jurisdiction, as well as a number of NOLs from DW, should we assume that the 13% to 15% tax rate is the new normal longer-term? Or were there some one-offs, just for this year and that that tax rate will be above that 13% to 15% starting next year? Thanks.
Bruce Cozadd: David, I’ll take the first part about the PDUFA date upcoming and then turn it over to Renee on tax matters. As Rob said, we think we’re right on track. We’re not going to get into, and generally don’t get into back and forth with the FDA, specifically, but things are progressing the way we expected and we’re looking forward to bringing Xywav to patients via IH, as soon as we can. Renee?
Renee Gala: Yes. And on the tax side. So we have stated previously that when we look at our future product mix as we continue to diversify this group of products that we’re diversifying into is expected to have a favorable impact to our ETR and that’s based on a number of factors, IP, where product is manufacturer, other impacts related to our business. And there was as we shifted from the beginning of the year to coming out with our updated guidance in June. This shift downward to reflect both the addition of Epidiolex and then as we continue to look at that shift into our newer products with those products coming together those are the ones that carry a more favorable ETR. And of course, we also continue to look longer-term, while we’re not going to give a specific range here today. I would just say going forward as we continue to diversify and we’re building that portfolio of future products will continue to look at how we structure those in the most economically favorable way.
David Steinberg: Great. Thanks.
Operator: Your next question comes from the line of Balaji Prasad of Barclays. Your line is open.
Balaji Prasad: Hi. Good afternoon and thanks for the questions. Just a couple from me. Firstly on Sunosi, you [indiscernible] the sales team around February and March and also commented that there’s highly promotions and staff, thinking that we will probably see strong the number but, could you maybe take us through the progress achieved in the background on this. And also maybe revisit the overall market growth on longer term outlook that we have for 2025? Thanks.
Bruce Cozadd: Sure, I’ll take Sunosi. Yes. So we reaffirmed our field teams in nature that we’ve got a dedicated field team to call upon the Sunosi doctors and we do think it’s promotionally sensitive and with increasing restrictions getting lifted and more face to face interaction, we’re still below COVID levels in terms of the percentage of in-person versus virtual. So we’re seeing that continuing to increase and making sure that there is real awareness of Sunosi. For those physicians who have adopted it and for patients who have gone on the clinical profile really fits with what we saw in the clinical study. I think we are seeing sometimes for physicians who haven’t had experience yet that there is a – just a general reluctance are concern about market access with new branded therapies and given that we’ve got very good market access, it’s something we’re trying to address with more infield education. So overall 25% prescription growth, we continue to think that there is room for upside. We’re not updating kind of longer term potential but we do think it’s got sort of meaningful clinical benefits relative to the current wait promoting agents and stimulants that are being used.
Bruce Cozadd: Okay, operator I think that was the last question. So I’m going to conclude – just conclude by saying, we remain focused on our key objectives for 2021 and we’re excited about the progress of our transformation. I would say the first six months of this year has been a good demonstration of the power of our products, our platform and our people and we’re looking forward to continuing the momentum. I’d like to close today’s call by recognizing our Jazz colleagues including those who recently joined us from GW for their creativity, commitment and the strong sense of urgency that continues to fuel our success. I also want to thank our patients, our partners and shareholders for their continued confidence and support. We look forward to speaking with many of you at upcoming fall investor conferences. Thanks everyone for joining us today and stay well.
Operator: I will turn the call over to Dan Swisher for the closing remarks as well.
A - Dan Swisher: No, those were the closing remarks, operator sorry for any confusion. We’re all set.
Operator: Thank you so much. This concludes today’s conference call. Thank you for participating. You may now disconnect.